Operator: Thank you for standing by. This is the conference operator. Welcome to the First Quantum Minerals Ltd. Second Quarter 2023 Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Bonita To, Director, Investor Relations. Please go ahead.
Bonita To: Thank you, Damian. And thank you, everyone, for joining us today to discuss our second quarter results. During the call, we will be making forward-looking statements and as such, I encourage you to read the cautionary note that accompanies this presentation, our MD&A and the related news release. As a reminder, the presentation is available on our website and that all dollar references are in U.S. dollars unless otherwise noted. On today's call will be Tristan Pascall, our Chief Executive Officer with opening remarks, followed by Rudi Badenhorst, our Chief Operating Officer, who will provide an overview of our operations. Ryan MacWilliam, our Chief Financial Officer, will review our financial results, and Tristan will then wrap things up after which we will open up the lines to take questions. And with that, I will now hand it over to Tristan.
Tristan Pascall: Thank you, Bonita, and thank you, everybody, for joining us on our conference call today to discuss our second quarter results. After what was a challenging start to the year, it is pleasing to report improvements in the second quarter which Rudi will speak to in his review of operations. As a result of our focus on productivity and cost, to which we continue to seek to improve, our second quarter EBITDA of $568 million increased from the first quarter despite the weakness in the copper price, which Ryan will provide more details in his financial review. Overall, I am pleased with our second quarter results with our three largest operations hitting daily production records during the period. And I am confident that our three main operations are set up well for the remainder of the year. We do expect a stronger performance in the second half of the year, and we remain comfortable with our guidance, although production will likely be at the bottom end of the range. I would like to give an update on the Concession Contract in Panama. As you are aware, we reached an agreement with the Government of Panama earlier this year. Since this agreement, the Concession Contract has successfully gone through the public consultation process in April and has been signed by both the government and MPSA in June. It is currently under normal course review with the national controller, which is the final stage before the contract is presented to the National Assembly. We do expect endorsement from the national controller in short order and continue to expect the Concession Contract to be put in front of the National Assembly in the current legislative term. The Cobre Panama team continue to work closely with government to support the passage of the contract into law for the mutual benefit to Cobre Panama and the people of Panama. Before I hand over the call to Rudi to review operational results, I would like to highlight that during the quarter, we published our 2022 ESG report, which was our seventh annual report on our sustainability performance. Following the publication of this report, we hosted our inaugural virtual ESG Day that outlined our practical and pragmatic approach on a number of ESG areas that are key to our business. I'm very proud of the work we do across our business and the commitment of all our operations to the surrounding communities and our commitment to produce copper in a safe and responsible manner. If you were unable to attend this event, I encourage you to review the replay, which is available on our website. And with that, I would like to hand the call over to Rudi.
Rudi Badenhorst: Thank you, Tristan. After a difficult first quarter, it is pleasing to see operations back on track in the second quarter with Sentinel achieving its highest monthly production for the year in May, and Cobre Panama and Kansanshi achieved the same records in June. Total copper production for the second quarter was approximately 187,000 tonnes, up over 48,000 tonnes from the first quarter, as grades increased at each of our three largest operations and throughput improved at both Cobre Panama and Sentinel. At Cobre Panama, the operation delivered a strong performance in the second quarter, with copper production of just over 90,000 tonnes, 38% higher than the first quarter as grades improved and more throughput continues to ramp up towards the 100 million tonnes per annum rate. At Kansanshi, copper production of approximately 35,000 tonnes was nearly 6,000 tonnes higher than the first quarter. Production during the second quarter focused on mining cutbacks at elevated benches that have historically had higher grades. As a result, grades across all three circuits were higher quarter-over-quarter. During the quarter, we encountered hard ore in the Mine 11 area with high carbon content, which impacted crushing and milling rates. This is being addressed by blending with softer oils from stockpile and by continued acceleration of ore from the Mine 15 and 17 areas. Sentinel reported copper production of 54,000 tonnes in the second quarter, approximately 18,000 tonnes higher than Q1. While mining activities continued to be impacted by excess water from the heavy rains in the first quarter, by mid-May, operations steadily improved once the pit was dewatered, thereby allowing operations to regain access to higher grade ore. Overall, it was good to see an increase in production in the second quarter, and we expect to see these improvements continue over the remainder of the year which Tristan will address in the guidance section of his closing remarks. Thank you. And I will now hand the call over to Ryan to review the financials.
Ryan MacWilliam: Thank you, Rudi. The copper price averaged $3.84 per pound in the second quarter, down 5% from Q1. This fall is a result of the weak global industrial activity and accompanying recession concerns as interest rates continue to rise. However, this broader demand softness was balanced by reasonable electric grid and electric vehicle spending, particularly in China. As such, commodities like copper, which are tied to the energy transition, outperformed traditional industrial commodities. Despite the weaker copper price in the second quarter, total revenue increased 6% from Q1. This was driven by increased copper sales of 27,000 tonnes due to the higher production which Rudi described. Sales were lower than production during the quarter, partly due to inventory levels returning to normal following a low Q1 as well as the timing of shipments, which will catch up over time. As can be seen on Slide 15, copper C1 cash cost of $1.98 per pound was 12% lower than Q1. This decrease was driven by higher production and lower fuel and explosive costs in the quarter. This was partially offset by higher maintenance cost and lower byproduct credits due to the lower gold grades at Cobre Panama. Our cost generally fall into three categories. The first category include cost directly linked to commodity markets such as fuel, freight, and explosives. This category makes up roughly 25% of our costs and is an area where we have seen strong cost improvements through the first half of this year. The second category includes items such as grinding media and reagents, where the cost base is partially linked to commodity prices built into the cost base but with a lagging effect. These make up roughly 15% of our costs and improvements so far have been muted due to this lagging effect. The last category includes labor, services and fixed costs. These fixed costs include items such as electricity, which is generally based on multi-year contracts, and items such as treatment charges, which are priced off annual contracts. These costs make up roughly 60% of our cost base, and it is in this category where costs remain sticky. This is similar to what we are seeing an inflation globally, as core CPI remains above broader CPI measures. Slide 16 highlights the Q2 EBITDA increase by 10% to $568 million, driven by higher revenues. Net earnings attributable to shareholders increased to $93 million, and adjusted earnings per share increased to $0.12. Moving on to our balance sheet. During the quarter, we announced the offering of our first standalone ATS senior notes. This $1.3 billion issuance resulted in a 50% increase in our weighted average debt maturity. The proceeds were used to pay down $970 million in the existing revolving credit facility, and $300 million redemption of the company's outstanding 2025 senior notes. This provides us with a continued strong liquidity buffer, which is important given the global macro uncertainty. Our net debt decreased by $130 million to $5.65 billion due to higher EBITDA and favorable working capital movements. Also, during the quarter, it was pleasing to see the Government of Zambia reach a $6.3 billion debt restructuring deal with external government creditors. This unlocks another tranche of IMF funding and is expected to benefit the fiscal and monetary environment in Zambia and, therefore, its sovereign credit rating. This benefits Zambia and First Quantum as an improvement in the Zambian rating decreases the country risk component of our corporate credit rating. Lastly, our continued confidence in our underlying business has led to the declaration of an interim dividend of $0.08 per share based on our 15% of cash flow dividend policy. This will be paid out on September 19th. And that brings the finance section to an end. I'll now hand the call back to Tristan.
Tristan Pascall: Thanks, Ryan. As Rudi noted, the second quarter saw production improvements and we are well set up for this to continue in the second half of the year. At Cobre Panama, the CP100 Expansion project is ramping up well, already achieving brief periods at full design capacity and on track to exit the year at a consistent rate of 100 million tonnes per annum. In addition, we continue to expect grades to continue to improve over the course of the year. As such, we are maintaining our copper production guidance for Cobre Panama at 350,000 to 380,000 tonnes. Construction of the moly plant is progressing well with completion and commissioning expected by the end of 2023 for first molybdenum concentrate production in the first quarter of 2024. At Kansanshi, the second quarter started to see the benefits of changes in mining fleet deployment and mining on the upper elevations of Mine 15 and 17, which have had historically higher grades. As well, our extensive drilling campaign has allowed for better visibility of the mining areas as well as the grades in our stockpiles. As such, we continue to expect copper production to be in our guidance range of 130,000 to 150,000 tonnes, albeit the bottom end of the range is more likely. Production will remain at these low levels until the S3 Expansion project comes online in 2025. Overall procurement for this project is approximately 33% committed. Several long lead items are on track for delivery in the coming weeks, including the first haul trucks, and the construction works already underway, I expect it to accelerate into next year. We are confident that we remain on schedule for first production from the S3 Expansion in the second half of 2025. At Sentinel, with the groundwater now under control, we have already begun accessing the higher grade ore at the bottom of the pit. As well, we have deployed a drilling contractor for July to work alongside our own drill rigs to increase stocks of broken material. We expect milling rates and grades to continue to improve for a stronger second half of the year; however, taking into account the challenges we encountered in the first quarter, production for the year will likely come in at the lower end of our guidance range of 260,000 to 280,000 tonnes. At Enterprise, an important milestone was achieved with first production of nickel concentrate achieved in the second quarter. As well, the process plant temporarily demonstrated nameplate capacity during the quarter. The remaining focus will be to ramp-up to commercial production over the remainder of this year and with full ramp-up in 2024. At the Las Cruces Underground Project, while all necessary permits are now in place for project approval, technical and study work continues. The project continues to be evaluated taking into account the current economic conditions and the company's debt reduction objectives. This brings to an end my prepared remarks. However, before I open the lines for Q&A, I would like to take this opportunity to commend all the teams at our operations. During the first quarter, each operation faced its own unique challenges and the team swiftly responded bringing the operations back on track. This has resulted in an improved second quarter and, I believe, places the company in a position for a stronger second half of the year. With that, we will be happy to take questions now. Thank you.
Operator: [Operator Instructions] The first question is from Orest Wowkodaw with Scotiabank. Please go ahead.
Orest Wowkodaw: Hi. Good morning. Question is around Sentinel. Can you maybe walk us through what gives you confidence that that operation can still meet the low end of guidance expectations for this year, just based on the weak first half?
Tristan Pascall: Sure, Orest. Well, let me give you the high level, and then Rudi can jump in with some detail. So, as we said on the last call, we still had water in the pit in Sentinel really towards the end of April and into early May. So, what we've seen so far this quarter and the production results of 54,000 tonnes reflects really a strong operation from the two months, May and June. And July, we've seen that we're very much on track. As we said in the first quarter call, the lack of access to the lower areas of the pit really meant that we were focused on lower grade areas in the Phase 2 area of the pit. And now -- and we were on-site just in the last couple of weeks, the working areas, the benches, and the roads are now in very, very good condition, particularly in the bottom of the pit, and we now have very good grades there. So, up to 1% to 1.5% copper in the bottom of the pit, and that was always intended to come out this year. It's just that the proportion -- the sequence across the year is now shifted, so we'll see the majority of that in the second half. Rudi, do you want to add anything to that?
Rudi Badenhorst: While, I could. The important thing is that, as we said at the end of the first quarter, pre-shipping and shipping in those areas associated with high grade was already done, it was just a matter of getting rid of the water. We're already, as Tristan highlighted, seeing very, very positive results into the first month of the third quarter, and we have absolutely no reason not to be positive about the production coming out of Sentinel for the remainder of this year. Certainly, as far as preparations are concerned for the upcoming wet season in November, additional pumping capacity has been employed. Last year, where we couldn't pump any of the contact water to the environment without doing the necessary neutralization, that has principally been removed by installing a facility to pump all of that water to the process plant, so we won't have any restrictions in pumping water there. And the efforts around opening up the northern wall for setting us up for 2024 has progressed exceptionally well. So, honestly, there is absolutely no reason for us not to believe that we will get there this year. We are in the -- all the channels are ore bound and things are looking good there.
Orest Wowkodaw: Thanks, Rudi. And just as a follow-up. Those changes that you've made with respect to water treatment, does that suggest that you expect a more balanced profile next year with respect to production through the first half of the year versus second?
Rudi Badenhorst: Exactly that.
Orest Wowkodaw: Okay.
Operator: The next question is from Jackie Przybylowski with BMO Capital Markets. Please go ahead.
Jackie Przybylowski: Thank you very much. Actually I'll ask my first question as a follow-up to Orest's question. In the MD&A that you put out last night, you talked about fragmentation issues at Trident and that you're deploying a contractor to help with some of the drilling and mining, can you talk a little bit about how you expect that contractor will impact the costs at Sentinel and, I guess, at Enterprise as well? And you see in the release that you're expecting that will start in July. Can you talk about how long you expect that contractor will be deployed for?
Tristan Pascall: Rudi, do you want to take that one?
Rudi Badenhorst: Yes, my wish. Hi, Jackie. Yes, we decided to go the route of additional drill rigs in the Sentinel pit and it's really primarily to give the operations an opportunity to get ahead of some broken stock, and we are planning to only utilize the additional three rigs for a period of about six to nine months and then we will let them go. It's really just to help our own existing fleet come ahead of the game where we lost a bit of opportunity with the rain last year or the beginning of the year when it was quite wet and we couldn't get those drill rigs in. And as far as costs are concerned, the contractor that we brought in are drilling at similar rates and in some cases slightly lower cost than ourselves, so we don't expect to see any real increase in drilling cost. But what is more important is that we will see a substantial increase in broken stock, which will allow for the more efficient feeding of the crushers and upping the milling rate which is essential.
Jackie Przybylowski: Thanks very much, Rudi. I appreciate that. And maybe as a second question. Can I ask if you can comment at all on the progress in the Panamanian Government or Panamanian National Assembly to approve your proposed changes to the mining code. Do you have any sense on when that comes up in the debate or discussion or when we might expect to see a resolution on that? Thanks.
Tristan Pascall: Thanks, Jackie. I'll take that one. Yes, the contractor is currently sitting with the National Controller and that's an administrative process to validate the counter-signature by the government on the contract that was signed. And that's the last step before it does go into the National Assembly. The current sitting of Parliament commenced on the 1st of July, and our understanding is that in the last three, four weeks, they've been working on the establishment of the various committees. So, the finance committee and so on. And the process is the contract goes into the committee for reading and then it passes from the committee into the full house in the National Assembly. So, that's the sequence, we believe, is signed by the National Controller, which we believe will happen in short order, that it would then go into the National Assembly, read by the committee and then for debate and voting in the house. So, there is no reason to expect that wouldn't occur, as we said, in this current sitting of Parliament.
Operator: The next question is from Ralph Profiti with Eight Capital. Please go ahead.
Ralph Profiti: Thanks, operator. Good morning. Tristan, two questions. The first one is on Cobre Panama. It looks like just a shade under 92 million tonnes per annum as the run rate as the average for Q2. Just wondering where you are at the exit rate of Q2 or even in today's terms, and just how close are we to getting to a 100 on a steady state basis even before the year-end target?
Tristan Pascall: Yes. Thanks, Ralph. So, really that's a combination question at the front end of the circuit around the efficiencies generated by the screening plant, and that's the focus and the optimization work that's going on. We're very, very happy with the contribution that Ball Mill 6 is already making, the processed water upgrades have -- since the last of year -- end of last year have meant that even at these high throughput rates, we've seen very good recoveries. And so, really it's around the optimization of that screening plant with secondary in pebble crushing. So that's going well. We have seen days where we exceed the normal throughput rate and that target of 100 million tonnes per annum, and it's now a matter of stringing that sequence together and alongside grade coming out of the pit. We do see variations across the pit, some areas are harder than others, some are more confident than others. And also, we have areas where there is some clay content that has an impact on that screening plant. So, that's why the optimization is important and takes that time. And we're very confident of hitting that 100 million tonne per annum. We are not saying that we will achieve that anytime sooner, but if we do that, then that would be a bonus. But at this stage, we continue to hold to what we said, which is by the end of the year.
Ralph Profiti: Okay. Yes. Got it. Thanks. And if I can ask a second question maybe for Ryan. Just on the Zambia IMF deal, you talked about corporate credit advantages and just wondering if you're seeing some of those savings on the recent senior notes refinancing where you're seeing that savings on the jurisdictional component on the terms of those notes, is that something that we can infer from some of the rates that we're seeing on those coupons for that refi?
Ryan MacWilliam: Yes. Hi, Ralph. So, this is the first time we've issued notes at better rates than what the JPMorgan High Yield Index is, but I think it's driven by a combination of factors. It's driven by the more than $2 billion in debt reduction over recent years, it's driven by the constructive relationship now in place with the Government of Panama, and it's driven by the fact that we're on track with our brownfield projects. Certainly, the dynamic in Zambia and the positive part that the government has delivered that IMF deal and continues to make progress in part -- debt restructuring is part of it. There is still more work to go there with the government, and we hope -- we think that will help in the future, but I'd say the Zambia piece is a part of it, but it's together with other factors that helped that bond issuance.
Operator: The next question is from Ioannis Masvoulas with Morgan Stanley. Please go ahead.
Ioannis Masvoulas: Hello. Thanks for taking my questions. The first question is on Kansanshi. You mentioned in the MD&A and on the prepared remarks about the processing challenges due to the ore hardness and the fact that you had to use stockpiled material. Is this something you expect to persist in the second half of the year?
Rudi Badenhorst: Sorry, Tristan.
Tristan Pascall: Go ahead Rudi.
Rudi Badenhorst: Yes. Yes, absolutely. The -- currently, we're experiencing some very hard material in the Mine 11 area of the pit. And that is offset by mining as we stated in the MD&A and also on the call earlier by going up into Mine 17 and Mine 15 where we have some higher grade and very good material. But also, the strategy with S3 coming on in a year and a half to two years' time, as always being to also incorporate ore stockpiles, and when we have the advantage to use those stockpiles and offset some throughput issues through the crushers and the mills by using those stockpiles, we will continue to do so. We have drilled those stockpiles in the last six months and we now know quite well where the grade is in those stockpiles or where there isn't any grade. So, it's not just a haphazard feeding of stockpiles, it actually forms part of the strategy and it's working well for Kansanshi at the moment.
Ioannis Masvoulas: Okay, great. Thank you for that. And just a follow-up on the Cobre Panama fiscal talks, what's the -- when does the current legislative term of the National Assembly end?
Tristan Pascall: Hi. It is 1st of October when the current term ends.
Operator: The next question is from Chris LaFemina from Jefferies. Please go ahead.
Chris LaFemina: Hi. Thanks guys for taking my question. So, I had a bit of a bigger picture question regarding your strategy and how that might change if commodity prices change. So, it seems like strategy now is delever the balance sheet, a prudent conservative approach to growth, but you obviously have a pretty big organic growth pipeline. What if we have a period where copper prices go a lot higher than people expect. How does the strategy change? So, if we think about your project pipeline, La Granja and [indiscernible] are kind of tied up with community relations work that you need to do. Taca Taca, there's fiscal stability that you need to focus on before you can really start putting a lot of capital there. So, what happens to cash flow, if you can delever more quickly in the event of higher copper prices? You develop squeezes underground, but what about beyond that? Is the capital returns or is there anything you can do in the portfolio to accelerate some of the investments? And then I have a follow-up question to that as well.
Tristan Pascall: Sure, Chris. Thank you. I mean, the first thing to say is, look we understand the structural shape of the copper market and the challenges on supply to what looks like stronger and stronger demand in the future, but as Ryan said in his comments, in the near term, we also need to plan. And it seems in the last few days that the outlook is improving, but certainly, it would make prudent sense to plan for a downturn or recession or continued challenges on inflation. So look, our first responsibility is to deliver and not to get ahead of ourselves on that in terms of making sure the plan for this year is in solid place and into next year, and certainly that's the focus as Rudi has said out there. But beyond that, we believe that First Quantum has an enviable brownfield and greenfield portfolio and certainly has the team in order to be able to put those into play. If we do see and -- that rosy scenario comes to bear, we have the assets and the capability to deliver that. But we would only do that as we've said many times from position where the balance sheet is in strong position. So, we did set out our capital allocation policy. It's in the presentation and sets out pretty clear. The focus is on improving the balance sheet and then investing in the business, but also making a return to shareholders wealth to share in that upside if it does come to bear.
Chris LaFemina: And then conversely in a weaker market, what levers would you pull to make sure the business stays structurally intact?
Tristan Pascall: Thanks, Chris. Yes, look, I think that's an important question. As I said, it's really around delivery on the plan. If we do see significant compression, what we would say as Ryan said out in terms of our cost structure, we would expect some of those more sticky elements to pull back as well. Our margin -- we've noted the resilience of the copper price even during this challenging time and we would seek to push hard on our supply and our cost control. If things get really squashed, then we would be looking at how we're spending capital in the business and that would be the next lever to pull. But in the meantime, as I said, it's really around delivery on the production plan, revenue, and copper generation is what gets us there and achieve the balance sheet deleveraging that we want to see in the near term.
Operator: The next question is from Greg Barnes with TD Securities. Please go ahead.
Greg Barnes: Yes. Thank you, Tristan, just a comment from you around the risks as the Concession Agreement in Panama goes through the National Assembly, these various committees. Can the committees, or do they have the power to change some of the terms of the agreement, or is this more of a formality?
Tristan Pascall: Yes, Greg, I wouldn't say it is a formality, but the process is that the committees do the reading and then it goes from the committee into the full house. But no, there is no -- it's just a yes or no votes. The detail of that in terms of the various [indiscernible] and so on and where they would line, that's part of what the government is focused on. The government and the company are aligned in terms of the PR effort and moving that forward, but it is a democratic process. I would say that we're confident, but it is a democratic process. But everything that we're seeing at the moment gives us reason to believe that we expect it would pass, and we would like to see that in the near future.
Greg Barnes: Okay. And just as a follow-up question also on Cobre, but for Ryan. Your hedging on the coal for the power plant comes to an end at the end of this year. What's the thinking around protecting the coal price beyond 2023?
Ryan MacWilliam: We'll certainly consider future coal hedges. The current hedge program there has been successful and it's only protected the costs around power generation. Our guidance for next year assumes a coal price of around $150 a tonne, and that's what's embedded in those C1 costs. If we're able to get a lower coal price, as it's been more recently in the spot market, you will see better-than-expected costs coming out of Cobre. And conversely if the coal price is above $150, it will move the other way. It is a discussion with the suppliers and I think that'll just be -- will go into those commercial discussions. If there is a sensible contract for us then to put in place, we'll put it in place. If there is not, we're also comfortable buying coal off the spot market. Over time, coal does become a smaller portion of the cost there, Greg, as we move to renewables. We've already got that expansion project powered by renewables. And we've disclosed that by 2030 we'll be fully off coal. So, it's an important question but of less importance with time.
Operator: The next question is from Ed Brucker with Barclays. Please go ahead.
Edward Brucker: Thanks for taking the question today. My first one was just on the recent new deal. Historically, you've waited to look to refi bonds really kind of 12 months ahead of when they mature. I just wanted to get your thoughts on why you're proactive now? What was rationale coming to market for that bond, especially in the context where rates are right now?
Ryan MacWilliam: Sure. So, we'd actually redeemed $850 million of the 2024s before the end of the first quarter, and we drew it from the revolver to fund that redemption effectively to some extent that most recent redemption was partly for the 2025, $300 million. But the other way to think about it is the majority, the balance, the $1 billion, most of that actually went to the 2024s, which we recently redeemed. So fairly consistent strategy with what we've done previously.
Edward Brucker: Got it. And then, the La Granja acquisition was small and I'd say prudent, there's some capex on the backend. But it seems like there -- in the capital allocation plan, there's inorganic projects you can look at. I just wanted to get your thoughts on more acquisitions in the near, I guess, or medium term. How large you're looking or if it's more of an afterthought?
Ryan MacWilliam: So, we have a fairly consistent approach to acquisitions where we monitor opportunities out there through the prism of where can we add value to a situation, where do we have the skills or experiences from what we've done before to unlock value. And certainly with La Granja, it's a challenging project, but we think that learnings from within our business that we can apply to it for the benefit of both us and Rio Tinto. And we'll continue with that approach. And that means opportunities might come up, and we might do acquisition. Similarly, if no opportunities come up, we're very comfortable not doing any acquisitions given the strong pipeline that Tristan mentioned. But where we do them, it's generally going to be focused on where can we take our existing skills and capabilities to unlock value traditionally in copper projects for our investors.
Operator: The next question is from Bryce Adams with CIBC. Please go ahead.
Bryce Adams: Hi, thanks for the call. Several questions already on the production front. My question is on cost performance. You're now guiding to the high end of costs for this year. Should we be expecting that cost pressure to impact the outlook for '24 and 2025 or not at this stage?
Ryan MacWilliam: Yes. Hi, Bryce. So the main reason to guide towards the top end of cost is because we're guiding towards the lower end of production. So, the main driver there is just less units of production embedded in that C1 cost guidance, particularly where we've seen lower gold production through the first half of this year. As we'll go through our planning process for next year, certainly in some areas, as we noted, we've seen things like the oil price come down versus what we had in our plan for this year and the next two years. So that would be a tailwind as we think about cost in the out year but we'll do that work through the balance of this year and then put out that guidance in early next year.
Bryce Adams: Okay, thanks. The follow-up is just a clarifier on the Panama National Assembly. Did you say or did I hear they're sitting until October 1st or October 31st?
Tristan Pascall: Hi, Bryce. Yes. 1st of October -- October the 1st.
Bryce Adams: Okay. Thanks so much.
Operator: The next question is from Dalton Baretto with Canaccord. Please go ahead.
Dalton Baretto: Thanks. Good morning, everybody. Just one question from me. Tristan, in the past, you've said that you'd like to add a third leg of production somewhere in addition to Panama and Zambia, I guess. I'm just wondering, is that still a priority? And then, do you think it can come from your existing pipeline? Or do you think you'll have to look externally for it? Thank you.
Tristan Pascall: Thanks, Dalton. Yes. Look, we see the continued rationale to diversify operations in Zambia, operations in Panama, and a third leg would continue to diversify that. We think that's prudent in terms of the volatility of our earnings, but also in terms of the share price and so on as well. The greenfield pipeline that we have is very competitive. We're particularly excited about the deal with Rio Tinto that we expect to finalize very soon, La Granja acquisition, and that is a world-class ore body, one of the largest unexploited copper ore bodies in the world. But that will take some time to go through the validation and studies in order to deliver that project. In the meantime, we are looking and continue to look closely at Taca Taca in Argentina and I was there during the quarter on the ground just to understand the lay of the project, but also the country and the appetite for the investment that it may have as it comes up to the elections in October. Those questions around Argentina will be answered by Argentina. The project is in good standing and it's really about the administration that goes forward as to how they see investment into the country. But we do think that there is a strong call for copper in the country and we note the level of other projects and other opportunities for Argentina in that regard. And that would be very strong for the country given where the economy is at the moment. So those are very competitive. But as Ryan said, we do look at other opportunities elsewhere, from time-to-time, but we do think we also have the people that can deliver those projects in the near term.
Dalton Baretto: That's great. Thank you, Tristan.
Operator: This concludes the question and answer session. I'd like to turn the call back over to Tristan Pascall for closing remarks.
Tristan Pascall: Thanks, operator. Thank you, everyone, for joining us today. And I would like to wish you all an enjoyable and rest of summer. I look forward to the next update with our third quarter results.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.